Operator: Greetings and welcome to the Fourth Quarter Helix Energy Solutions 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Tuesday, February 21, 2023. I would now like to turn the conference over to Brent Arriaga, Chief Accounting Officer. Please go ahead.
Brent Arriaga: Hi, good morning. Good morning, everyone, and thanks for joining us today on our conference call for our fourth quarter and full year 2022 earnings release. Participating on this call for Helix today are Owen Kratz, our CEO; Scotty Sparks, our COO; Erik Staffeldt, our CFO; Ken Neikirk, our General Counsel; and myself. Hopefully, you've had an opportunity to review our earnings press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through the -- for the investor page on our website at www.helixesg.com. The press release can be accessed under the Press Releases tab, and the slide presentation can be accessed by clicking on today's webcast icon. Before we begin our prepared remarks, Ken Neikirk will make a statement regarding forward-looking information. Ken?
Kenneth Neikirk: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations and assumptions as of today. Such forward-looking statements may include projections and estimates of future events, business or industry trends or business or financial results. All statements in this conference call are in the associated presentation, other than statements of historical fact are forward-looking statements and are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual future results may differ materially from our projections and forward-looking statements due to a number and variety of risks, uncertainties, assumptions and factors, including those set forth in Slide 2 and in our most recently filed Annual Report on Form 10-K, our quarterly reports on Form 10-Q and in our other filings with the SEC. You should not place undue reliance on forward-looking statements, and we do not undertake any duty to update any forward-looking statements. We disclaim any written or oral statements made by any third party regarding the subject matter of this conference call. Also during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slide of our presentation provides reconciliations of certain non-GAAP measures to comparable GAAP financial measures. These reconciliations along with this presentation, the earnings press release, our annual report and a replay of this broadcast are available under the Investors section of our website at www.helixesg.com. Please remember that information on this conference call speaks only as of today, February 21st, 2023, and therefore, you are advised that any time-sensitive information may no longer be accurate as of any replay of this call. Owen?
Owen Kratz: Thanks, Ken. And good morning, everyone. And we hope everyone out there and their families are doing well. This morning, we'll review our Q4 and full year results, performance and operations. We'll provide our outlook for the market, both what we currently are experiencing, as well as our expectations beyond that, and we'll provide our guidance for 2023. Moving to the presentation, Slides 6 through nine provide a high-level summary of our results and key highlights for the fourth quarter and full year 2022. During the fourth quarter, activity levels across all segments were high with the increased activity from the strong global offshore energy market driving improved rates. Highlights for the quarter include the completion of our West Africa Well Intervention campaign, strong activity and utilization in the Gulf of Mexico, the SH1 commenced its well decommissioning project for Trident in Brazil, a resilient North Sea Well Intervention market driving utilization, Robotics and Helix Alliance both providing solid seasonal adjusted contribution, our production facility segment continues to be a steady performer, our acquisition of three trenching systems and our interest in two IRS systems and to strategically deploy in the emerging markets. And on the sales front, we were awarded a minimum 12-month well decommissioning contract for the Q7000 offshore Brazil with Shell, and we secured an extension of the HP1 through at least mid-2024. Revenues for the quarter were $288 million, an increase of $15 million over our third quarter results. Our net income was $3 million, a $22 million improvement over Q3. Adjusted EBITDA for the quarter was $49 million. Our fourth quarter results were stronger than forecast, driven by the Q7000 working into December in West Africa and the robust North Sea Well Intervention market activity. For the full year 2022, revenues improved by $198 million to $873 million. Our gross profit improved by $36 million to $51 million, net loss increased by $26 million to $88 million, impacted by $23 million of FX loss from the devaluation of the British pound. Our EBITDA increased to $121 million in 2022 from $96 million in 2021. Operating cash flow for the year was $51 million, resulting in free cash flow of $18 million. We cautioned at the beginning of the year that 2022 would be a transition year for Helix. Our expectation was that the challenges of a multiyear weak market would transition into a much improved market for the second half of 2022. As we currently see it, fundamental improvements in the offshore market, both domestically and internationally, have established the foundation for a multi-year recovery of activity. With the market recovery taking shape, we acquired Alliance last summer to position Helix as a full-field abandonment service provider, expanding our offerings in market and diversifying our revenue stream. This acquisition added shallow water marine surfaces, surface well P&A and intervention services, diving and facility and pipeline removal capabilities to our existing services. With this acquisition and the offshore market improvements, we continue to execute our strategy of becoming the pre-eminent offshore energy transition company. I'd like to thank our employees, including the new team members that Helix Alliance for their efforts and high level of execution in 2022. Executing safe and efficient operations for our customers has always been our hallmark, and our goal is to remain an established leader in our industry. On to Slide 10, from a balance sheet perspective, our cash balance at the end of the quarter was $187 million. During the quarter, our operating cash flow was $50 million including $5 million of dry dock and recertification costs. In Q4, we spent $29 million on CapEx, resulting in $21 million in free cash flow. At year end, we were in a net debt position of $75 million. During the quarter, we optimistically -- or opportunistically acquired two additional IRS systems and three trenching assets. As the global offshore wind market continues to grow and expand its footprint, we strategically acquired the trenches to address the developing markets in the APAC and the U.S. East Coast. The additional IRS systems are intended to allow us to target strategic opportunities globally. I'd like to highlight yesterday's announcement that our Board of Directors authorized a share buyback program for the repurchase of up to $200 million of our outstanding shares. We've long communicated our design -- desire to return capital to the shareholders and feel the strength of the offshore market, the company outlook for 2023 and beyond and a solid balance sheet has put us in a position to announce this program. As always, we will balance the need to manage and fund our operations. Capital spending including Alliance are now maturing the strategic investment opportunities along with the share repurchase program. We plan to generally align this program with our cash flow generation and initially target deploying 25% of our free cash flow, noting the seasonality of our business. We are proud to be in a position to announce this repurchase program, which we view as an excellent opportunity to return value to our shareholders. I'll now turn the call over to Scotty for an in-depth discussion of our operating.
Scott Sparks: Thanks, Owen. And good morning, everyone. Moving on to Slide 12. Firstly, I would like to thank our teams, offshore and onshore, for another well executed quarter and finishing the year with their continued exceptionally high standards. Market conditions continue to improve, and we can concluded 2022 better than forecasted with high utilization across the fleet. Going forward, we have a much stronger backlog than we've had in recent years and very good visibility for the next few years. Our outlook for 2023 is significantly improved year-over-year with some long-term contracts in place with a high number of contracted days of work for our spot market assets. All of our businesses are well positioned for 2023 and beyond. In the fourth quarter 2022, we continue to operate globally with minimal operational disruption with operations in Europe, West Africa, Asia, Brazil, The Gulf of Mexico and off the U.S. East Coast. We continue to operate at high standards with strong uptime efficiency for the quarter. During the fourth quarter, we produced revenues of $288 million, resulting in a gross profit margin of 11%, generating a gross profit of $31 million, producing EBITDA for the quarter of $49 million, a significant improvement against the fourth quarter of 2021 and the year ended with EBITDA of $121 million compared to $96 million of 2021. During the fourth quarter, the Well Intervention fleets achieved utilization of 97% globally, with 97% utilization in the Gulf of Mexico, 92% in Brazil, 99% in the North Sea and 100% utilization in West Africa, including Q7000 completing works in Nigeria and commencing its paid transit to the APAC region. The Robotics division, chartered vessel fleet achieved high utilization of 96% in the quarter, operating four vessels working 332 days between ROV support, trenching, renewable works globally and working on multiple renewables projects in Europe and the U.S. East Coast. Helix Alliance fleet of vessels achieved 69% utilization for the liftboats and the Alliance P&A Systems achieved 8% utilization with 1,106 operational days working for numerous clients in the Gulf of Mexico. The free diving support assets achieved 63% utilization and the heavy lift barge was seasonally warm stacked as expected. Slide 13 provides a more detailed review of our Well Intervention business in the Gulf of Mexico. The Q5000 again had strong utilization of 100% in the fourth quarter performing production enhancement work on four wells in ultra-deepwater, working under a multiyear campaign for Shell. The Q4000 had increased utilization of 94% in the fourth quarter compared to utilization of 81% in the third quarter. The vessel completed two well production enhancement scopes for one customer, followed by a single well abandonment for another customer and then commenced a two well production enhancement campaign for another clients in ultra-deepwater. Positively, we expect both vessels will have high utilization with the high number of contracted days in 2023 and good visibility of potential further activity with steadily increasing rates. Both key vessels continue to operate under the integrated Helix SLB Subsea Services Alliance package. Moving on to Slide 14, our North Sea Well Intervention business had a very strong quarter considering the seasonal winter months. With solid utilization for both vessels in the U.K, the Q7000 concluded another campaign in West Africa prior to commencing its paid transit to the APAC region. The Well Enhancer performed very well and achieved 100% utilization in Q4 compared to 80% utilization in Q3. The vessel performed production enhancement works on five wells for two customers. The Sea Well had a good quarter with 97% utilization. The vessel performed decommissioning works on numerous wells for several customers also utilizing our diving services. The North Sea market continues to improve and our business is seeing much improved utilization and achieving higher rates. The Sea Well has a full year and has recently contracted a 180-day decommissioning project in the Mediterranean expected to commence at the end of Q3, likely until the end of Q1 of 2024 and the Well Enhancer is contracted for nearly all of 2023. Typically, we would seasonally spec the vessels in the winter months in the North Sea; however, this winter, we are planning to continue working through the current winter months and at this time, plan to be working through the next winter, with a short planned maintenance period for each vessel. The Q7000 was 100% utilized in Q4, working in Nigeria, undertaken production enhancement works for an existing client until December. The vessel then commenced a paid transit to the APAC region to undertake a drydock that commenced in early February. Upon completion, the vessel is a planned transit to New Zealand to commence a contracted well abandonment campaign. The vessel is then scheduled to carry out a paid transit to Australia to undertake work in the second half of 2023 for seven well abandonment campaigns for Cooper Energy and then a further two wells for another client covering most of 2023. The Q7000 is then contracted for 12 months for an early 2024 abandonment work for Shell in Brazil. So the Q7000 is now contracted until early 2025, and we have already visibility on following work in 2025. Also in Australia, one of our recently acquired 10K IRS systems has been booked on an 18-month contract commenced in February of 2023. Moving on to Slide 15. In Brazil, we had good utilization of 92% in the fourth quarter. The Siem Helix 1 was 87% utilized in Q4, undertaken ROV survey work for Trident and then commenced the two-year decommissioning project also for Trident, performing work on three wells in the quarter. The Siem Helix 3 had a strong quarter with 98% utilization, completing production enhancement work on three wells and decommissioning activity on three wells. The two-year contract extension for Petrobras for the Siem Helix 2 commenced in December with a substantial rate increase. In the fourth quarter, Helix again won the Petrobras Rig Contract of the Year Award. We have now won this award three times and won it each year that we've been eligible for the award. We are very pleased to have won this award based on our safety and performance. Congratulations and a big thanks to our Brazil team and the crew of SH2. We expect 2023 is going to be a far better year for us in Brazil with both vessels being back to Well Intervention rates. We are pleased to have both vessels once again secured into long-term contracts. I'm pleased that we are scheduled to have three vessels contracted into Brazil region in 2024 with the addition of the Q7000 Shell contracts. Slide 16 provides details of our Well Intervention utilization. Moving on to Slide 17 for our Robotics review. Robotics continued their strong performance and had another good quarter, concluding a very good year, performing at high standards with strong utilization, operating four vessels globally during the quarter, primarily working between trenching, ROV support, site survey work and oil and gas and renewables related projects. In the APAC region, the Grand Canyon II had 100% utilization in Q4. The vessel performed well on a long-term decommissioning project in Thailand. In February of 2023, one of the newly acquired T1400 trenching systems commenced paid ship into Singapore to mobilize for an awarded renewables project in Taiwan, set to continue the global expansion of our renewables trenching services. In the North Sea, the Grand Canyon III was utilized 100% undertaking renewables trenching operations for three clients, performing extremely well and performed an oil and gas trenching project for two clients. The Horizon Enabler was -- had 68 days of spot vessel utilization, completing renewables trenching works for one customer in the North Sea and then completed an oil and gas trenching scope for another customer. Both of the trenching vessels in the North Sea had strong backlog for 2023's trenching season with a mix of renewable and oil and gas trenching works. In the USA, this year, the Shelia Bordelon, a Jones Act compliant vessel was utilized 91% in Q4. The vessel performed the site clearance project utilizing our own in-house-built boulder grab supporting wind farm operations off the U.S. East Coast. The vessel then performed further works in the Gulf of Mexico to support the seismic node installation projects. On the U.S. East Coast, the recently acquired iCloud trenching system has been contracted and mobilized on a client provided vessel to undertake site clearance preparation for wind farm support, again expanding our services that we offer to the renewables sector. Helix Robotics has performed well this year, and we have a good backlog and visibility globally in tightening markets in both the oil and gas and the global renewables, and we're expecting strong performance in 2023 and beyond. Slide 18 details our robotics vessels ROV and trenching utilization. Slide 19 provides an overview of our shallow water decommissioning and Construction Support Service business, Helix Alliance, reported as our shallow water abandonment segment. Shallow water tends to be seasonally affected in the winter months due to the worsening winter weather conditions, leading to lower utilization and seasonal stocking for some of our assets in Q4. The Offshore division had 10 liftboats operating in Q4 with a combined utilization of 69%, performing decommissioning services such as well abandonments and pipeline abandonment. Offshore also supplied six OSVs and one crew boat with a combined utilization of 74%. In Q4, the Energy Services division had 1,106 days of operations or 80% utilization for the 15 marketable P&A systems deployed, conducting decommissioning services. The division had 141 days of operations or 26% utilization for the six coiled tubing systems. The diving and Heavy Lift division had combined 63% utilization across the three diving assets and the heavy lift barge was as expected seasonally spec. Over to Slide 20. Slide 20 provides detail for the Helix Alliance vessel and systems recent utilization. Overall, we commenced 2022 expecting it to be a tough transitional year. As the market turns, we reacted well and I would again like to thank our Helix employees and partners for producing the results and turning the year around far better than we had first forecasted, again, with strong operational efficiency, minimal NPT and again set high standards in safety performance. Our markets are now much improved for all of our businesses, leading to strong utilization for our vessels and a stable platform for our employees. For the next few years, we expect to be in a strong position with some well won long-term contracts, contracted high-utilization processes, improving rates and generally better terms and conditions. I will now turn the call over to Brent.
Brent Arriaga: Thanks, Scotty. Moving to Slide 22, it outlines our debt instruments and their maturity profile as of December 31. Our total funded debt was $271 million at the end of the year. During 2023, we have semi-annual instalments on the MARAD debt, in addition to the maturity of the remaining $30 million of our 2023 convertibles. Moving on to Slide 23 provides an update on key balance sheet metrics, including cash, liquidity, long-term debt and net debt levels at year end. With cash of $187 million, our net debt position was $75 million. At year end, under our $100 million ABL facility, we had no borrowings outstanding and $98 million of availability, with the resulting liquidity of $285 million. Slide 24 presents our five-year performance. We are happy to report our fifth straight year of positive free cash flow in 2022 despite being a period that included two years completing our significant capital expansion phase in '18 and '19 and the COVID-19 market disruptions in 2020 and 2021. Slide 25 shows different compositions of our revenues. The segment and geography charts highlight our diversification and the shallow water decommissioning in 2022 and geographically into West Africa in 2020. We also present 2022 revenues by the three components of our energy transition strategy. During 2022, approximately 10% of our revenues came from renewables wind farm work and 35% from decommissioning in subsea wells and infrastructure. Production maximization, a core market for Well Intervention has been bolstered by the global demand for energy security. I will now turn the call over to Erik for a discussion on our outlook for 2023 and beyond.
Erik Staffeldt: Thanks, Brent. As you've heard, we expect to continue the momentum from the second half of 2022 into 2023. Based on the strength of the offshore market and our contracted work, we are providing the following 2023 guidance and certain key financial metrics from our forecast. We expect revenue to be between $1.0 billion and $1.2 billion for '23 with EBITDA in the range of $210 million to $250 million. We expect to generate free cash flow between $110 million and $150 million and our capital spend to be between $50 million to $70 million. These ranges include some key assumptions and estimates. Any significant variation from these assumptions and estimates could cause our results to fall outside the ranges provided. Our quarterly results are likely to continue to be impacted by seasonal weather in the North Sea and Gulf of Mexico shelf, primarily in the first quarter and fourth quarter. In addition, the timing of our vessel maintenance periods and project mobilization will cause variances between quarters. Overall, we expect the second half of '23 to be stronger than the first half with the third quarter likely to be our strongest quarter. Providing our key assumptions by segment and region starting on Slide 28. First with our Well Intervention segment. The Gulf of Mexico is expected to continue to be a very strong market with improving rates and expected strong utilization on the Q4000 and Q5000. Contracted work extends into Q3, Q5000 is anticipated to have an approximate 35-day maintenance period in Q1. The Q4000 has a scheduled drydock of approximately 75 days, starting at the end of Q1. In the U.K. North Sea, both vessels have contracted work into Q4 with the Sea Well having work into Q1 of 2024. Both vessels completed short maintenance periods in Q1. Since mid-2022, the activity levels in the North Sea Well Intervention market have significantly increased with limited seasonal impact in 2022 and minimal impact expected in 2023. The Q7000 started its transit to APAC region in mid-December. The vessel is currently in dry dock in Malaysia. Upon completion of the dry dock, the vessel is set to resume it's paid transit to New Zealand with the project scheduled to start mid-Q2. The vessel has contracted work in the APAC region into Q4. In Brazil, the Siem Helix 2 is contracted into mid-December '24. With Petrobras, the Siem Helix-1 has contracted performing well abandonment work on Trident into Q4 of 2024. Moving on to our Robotics segment, Slide 29, Robotics segment is benefiting from a tight market, both the oil and gas market and the renewables market are extremely active competing for assets. In the APAC region, the Grand Canyon II is contracted to perform decommissioning and ROV support work in Thailand into the second half of 2023, with expected good utilization for the balance of '23 in that region. In addition, one of the recently acquired T1400 trenchers has been deployed to the region for work expected in Q2, Q3. In the North Sea, the Grand Canyon III is contracted to perform trenching work with expected strong utilization for '23. The Horizon Enabler, with its flexible charter, has trenching projects in Q2 and Q3. The GloMar Wave recently chartered for site clearance and Helix removal is forecasted to have good utilization. In the U.S., the Shelia Bordelon is working the Gulf of Mexico, performing ROV survey support. With opportunities in the Gulf of Mexico and the U.S. East Coast, the vessel is expected to have strong utilization. The recently acquired i-Cloud that is being deployed for short project on the East Coast. Moving to production facilities, the HP1 is on contract for the balance of '23 with no expected change. We have expected variability with production as the Droshky field continues to deplete. We should benefit from the Thunder Hawk acquisition, although the producing facility has at least two expected outages for maintenance in 2023 with the first extended period here in Q1. Continuing on to Slide 30 for our new Shallow Water Abandonment segment, with the acquisition of Helix Alliance in July '22, in 2023, we should benefit from a full year of Helix Alliance. The shelf decommissioning market continues to be extremely active. We expect the marine offshore division to maintain digitalization on eight to 10 liftboats with some variable seasonality on the OSVs and crew boat. The Energy Services division should have strong utilization for 12 to 15 P&A spread and one to three cold tubing units throughout '23. There is seasonality in the diving and heavy lift where the Epic Hedron is currently idle with limited near-term opportunities. We do expect an active season during the second and third quarter. Moving on to Slide 31. Our CapEx forecast for '23 is heavily impacted by the dry docks and maintenance period on our Q vessels. The Q4000, Q5000 and Q7000 all has scheduled maintenance periods in early '23. With a heavy regulatory year and the inclusion of Helix Alliance, our CapEx range for '23 is currently $50 million to $70 million with a significant amount expected in the first half of the year. The majority of our CapEx continues to be maintenance and project related which primarily falls in our operating cash flows. Reviewing our balance sheet, our funded debt of $271 million at December 31st is expected to decrease by $38 million in 2023 with the scheduled principal payments. I'll skip the remaining slides starting with Slide 32 and leave them for your outlook. At this time, I'll turn the call back to Owen for a discussion on our outlook beyond '23 and for closing comments.
Owen Kratz: All right, thanks Eric, and what a difference a year makes. Last year at this time, we did not have the visibility into the market -- we didn't have a visibility into the market uncertainties that would allow us to provide an informed guidance. Today, we now have the best visibility for the foreseeable future that we've had in years. Demand began to increase following the Ukraine invasion and realization that energy security was an essential component of the energy transition. We did face challenges going into 2022 with uncertain demand, long-term contracts rolling off in a lower rate environment. The SH1 and SH2 negatively impacted EBITDA contributions in our 2022 results. These 2022 headwinds were offset in part by growth from Robotics and the rest of our Well Intervention business, where the Q5000 achieved over 90% utilization for 2022, without being available for a single day of VP work under the new three year call-off contracts. For 2023 rates, rates have increased and are expected to increase further. We expect the SH1 and SH2 impact to reverse by approximately $50 million. In addition, going into 2022, we tendered rates now considered below market rates and these -- and as these commitments roll off, it sets up for further upside in '24 and '25. Beyond these, there are a few representative positive market trends worth mentioning that bode well for Helix. The UK North Sea has returned to being a full year market in 2023 versus the seasonality of recent years that led to our practice of staffing the vessels located in that region for two to four months during the winter. This is a large gain and utilization on top of escalating rates. The APAC market continues to grow. Some outlooks call for it to eventually surpass even the EU market for offshore wind development, and we now have a trencher along with our vessels and ROVs to address that market. While the East Coast market is yet to fully take off for offshore wind, we now have a trencher, a site clearance boulder grab and access to vessels to address that market as it grows further. In Brazil, the divestiture of properties by Petrobras has brought additional players to the market. We now have contracts with three producers providing a much more diversified customer base, which should lead to Brazil being a three vessel market for Helix from 2024. Brazil is also becoming a decommissioning market for both deep and shelf decommissioning of fields while still being a prolific producing region. This has implications for our recent entry into being a significant deepwater and shelf abandonment contractor. Australia is also developing into a strong decommissioning market as evidenced by the work we secured for the Q7000 for 2023 prior to transitioning Brazil. After successfully conducting operations in West Africa, the demand for our services continues to grow. With the re-location of the Q7000 to Australia in 2023, we're assessing our options for West Africa. We have multi-regional offer -- optionality and pricing leverage going forward. Our Well Intervention assets are virtually sold out. And we have a strong outlook for robotics in 2023. We did recently add two additional jet trenchers, the iCloud trenching system and our interest in two additional Intervention Systems. A second boulder grab was also added that will target the U.S. East Coast wind farm market. The iCloud trenching system went on contract immediately. The first venture is committed under an LOI and one of the Intervention Systems is contracted for 2023. This pattern for adding incremental capacity to our existing core businesses may continue where we see sustainable demand and strong returns, but we still have no plans for any significant growth capital spending. We did make a significant acquisition of Alliance in the Gulf of Mexico that extends our decommissioning business into the shallow water shelf decommissioning market. Our initial guidance for EBITDA contribution from Alliance was $30 million to $40 million annually. For the second half of 2022 alone, since the acquisition, Helix Alliance generated $30 million. We see multi-year demand for shallow water shelf decommissioning and Helix Alliance is positioned to be the leading contractor in that space. The takeaway is that we see multiyear strong demand for all Helix capabilities. We may become asset short in meeting all the demand, but our strategy will be to look toward maintaining capital spending discipline and focus on free cash flow generation. It's our current intent to build the necessary cash to be in a positive position to cash settle all of our outstanding debt commitments. We'll continue to evaluate the appropriate level of debt to be included in our capital structure depending on the status of the debt market in the future. We will likely reserve a portion of free cash flow for smaller incremental additions to our capabilities and our current niches with the remainder of the free cash flow generation as discretionary. To that end, the Board has approved a $200 million share repurchase plan, representing approximately 17% of our current market value. We envision a target of approximately 25% of our free cash flow allocated to share repurchases and that we would generally align the timing of our repurchases with our cash flow generation. If and as free cash flow grows, the amount of share repurchases could grow and the 25% allocation may also be increased. This was a significant announcement in our country -- in our company's story, a goal we've long communicated to investors, and we look forward to deploying capital to execute on the program and return value to our shareholders. We see demand continuing to build for the three legs of our business model, maximizing remaining reserves, decommissioning oil and gas fields and supporting wind farm development. Our Well Intervention assets are predicted to be fully utilized and naturally hedged between maximizing remaining reserves and decommissioning depending on commodity prices and political wins. Both are mature end-of-life oil and gas activities. The Robotics group primarily support the Well Intervention Group, but also has focused on maintaining our strong position in offshore wind farm work for trenching, as well as site preparation work. Overall, following a number of challenging years, we believe we've positioned ourselves well. We expect to have a strong multi-year period of free cash flow generation ahead. Erik?
Erik Staffeldt: Thanks, Owen. Operator, at this time, we'll take any questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Sherif Elmaghrabi with BTIG. You may proceed with your question.
Sherif Elmaghrabi: Good morning, thanks for taking my questions. I wanted to ask about, excuse me, what opportunities exist for the 15K Well Intervention stacks? And how do you see demand trending for them this year?
Scott Sparks: So good morning, I'll take that. Scotty here. We do see demand for the 15K system, it will primarily be deployed off the Q4000, this works for at least two clients and obviously, we're also bidding some other work towards the end of the year. So, I would expect the 15K systems have similar utilization in '23 as it had in '22.
Sherif Elmaghrabi: Thanks. And you talked about visibility for the Well Intervention vessels, uncontracted days in the back half of the year and then further upside next year. So is there any difference between basins regarding how far out you can gauge long-term interest? For example, Brazil seems to have pretty good visibility because we know we've got three vessels working already contracted next year.
Scott Sparks: I would say we have good visibility across all three regions. We've never had -- it's been a long time since we haven't had to stack the vessels in the North Sea region for instance, and we've got good visibility in that region going out to 2024 and already have contracted work. And in the Gulf of Mexico, we see good visibility. We have some days left to sell at the back end of the year, but quite confident with the amount of client inquiries we have that will take those days up and keep increasing the rates and like you say Brazil is looking good. Australia is already booked up, so visibility is good, is the best we've seen in a long time.
Sherif Elmaghrabi: Thanks very much.
Scott Sparks: Thank you.
Operator: Our next question comes from James Schumm with Cowen. You may proceed with your question.
James Schumm: Thanks, and good morning, everyone. If I look at the guidance, just looking at the revenue guidance for the shallow water abandonment and then I just take the midpoint, it looks like you're expecting revenues to be lower in '23 versus 2022. What's driving that?
Erik Staffeldt: Yes, Jim, as we develop our outlook, we really focus on our or you can say, our revenue generating margin generating capabilities. There is variability with some of the pass-through items in that either no margin or very low margin and because of the variability of that, we don't really forecast those or budget those. So overall, to the extent they come in similar to the rate of '22, our revenues and our costs would probably be higher in that segment.
James Schumm: Okay. Maybe I should ask -- thanks, Eric. Maybe I should have asked what about on the profitability? I mean, what are you expecting there on an EBITDA level? Is that -- are you expecting a similar here or you expecting improvement? What are you seeing there?
Erik Staffeldt: So I think from our standpoint, we do expect a very similar year to what we experienced. Obviously, like we said, there is seasonality. And I think you'll see that in the first and fourth quarter results, but we do expect a very active second and third quarter.
James Schumm: Okay, thanks. And then just curious, what the trajectory of the P&A work or activity is in the Gulf of Mexico and globally? Just curious if you're seeing an acceleration in either region.
Owen Kratz: I'll have to take that and go by region. In the U.K. a year ago, it was a real strong push towards P&A. With the energy crisis in Ukraine, that sort of shifted back to production enhancement. The U.K. government also imposed an excess profit tax where decommissioning expense is not deductible. So that's had the effect of cooling the demand for P&A in the near term. I see that returning probably in '24, '25 time period depending on geopolitical events, but that's the North Sea. There is a huge backlog of work though that needs to be done, and I think there's a social will in the U.K. to see that start commencing. The -- let me shift to Australia. Australia is a market -- it's a mature market with a lot of fields that are nearing commercial end of life. It recently had a bankruptcy in Australia where the property reverted back to the government, in fact, two. In fact, we're going down to work for the New Zealand government on removing one of those fields. But as a result, I think the regulatory bodies down there become much more aggressive on pushing for a catch up on the backlog of abandonment work. So Australia for the next few years, I see as being a strong and growing market for decommissioning. In the Gulf of Mexico, it's pretty status quo, the -- in the deepwater. The shelf though has seen a tremendous surge in decommissioning activity as a result of the Fieldwood bankruptcy where all of the shelf properties reverted back to successor owners, and the successor owners are predominantly the majors, and they just want to get these things gone out of the way. So that's driving a big boom. Plus the regulators don't want to see a recurrence of this. So they're pushing for other operators to start to catch up on the backlog there as well. Then finally, in Brazil, the Brazil shelf market, I think, is going to be an interesting one developing. There's also interest from the regulatory bodies down there to not let it get out of control and to start seeing the shelf decommissioning performed. And in addition to that, Petrobras has been divesting packages to some of the new players down there, included a commitment to perform a certain amount of P&A within a certain period of time. So that's driving a multiyear surge in decommissioning in Brazil. So globally, especially fueled by the energy transition push away from oil and gas, there's a big -- I hate to say it, but the perpetual hockey stick of expected P&A may actually come to pass here.
James Schumm: Okay, great. Thanks for all the color. I'll turn it back.
Operator: Our next question comes from Don Crist with Johnson Rice. You may proceed with your question.
Don Crist: Morning, gentlemen. Owen, I had a question on the '26 notes. I know they're coming close to potential conversion price there. And historically, you have talked about trying to settle those in cash and keeping enough cash on the balance sheet to do that. Is that still the plan? Number one. And number two, how does the share buyback play into that? Would you use the share buyback to combat any potential dilution from the '26 notes conversion?
Owen Kratz: So I think overall, our general plan is to obviously execute the share buyback. The convertible notes in '26, they do mature in February '26. The earliest that call provision that we would have would be later on this year. I think, overall, Don, you're right, the general thought process is that we would settle these in cash. I think we're going to keep our options open depending on what the overall debt markets look like. I think if there's an option that would probably steer us away from the convertible market, that would be our preferred option at this time, but we're going to keep our options open. But just to summarize, our intent right now because of the condition of the debt market is that we will be sort of squireling away enough cash to be assured of cash settling these. The second option would be if the debt markets are sufficient, then we'll look at some form of permanent debt in our capital structure. But using shares from the repurchase plan here for settling the converts is not an option that I'd say is on the table.
Don Crist: Okay, I appreciate that color. And just one further one for me. Are there additional opportunities for oil and gas assets in the Gulf of Mexico as it relates to the shallow water P&A market? I know you've done a good job consolidating that and becoming a big player in that market. Are there additional assets out there that you could target to bolster your position there?
Owen Kratz: There are additional assets. I'd say right now, depending on which of the five asset classes you're talking about that are included in what's needed for abandonment, we have anywhere from 20% to 35% of the available assets. What we don't have is sufficient people to man all of the assets we actually have. The people constraint is the big bottleneck and that's facing everybody. So yes, there are additional assets out there. There are additional consolidation opportunities, but I think we're going to have to solve for the people equation first.
Don Crist: I appreciate all the color. I'll turn it back. Thank you.
Operator: Our next question comes from Samantha Hoh with Evercore ISI. You may proceed with your question.
Samantha Hoh: Hi, guys, congrats on just a really great quarter. I wanted to maybe talk a little bit more about the Well Intervention rate progression. Owen, you gave us a lot of information there in terms of just how much better day rates are moving. And directionally, this just seems really, really in the right direction. I was just wondering if you could talk maybe about how it compares to last cycle or previous cycle? And where do you think -- is there like a feeling for where day rates could move to over the next several years?
Scott Sparks: I'll take that. Good morning. The rates have significantly improved over the last 12 months. I would say that we're about 40% higher across the board from where we were a year ago. And we continue to push rates. Rig rates offshore keep increasing in certain regions, and as they do, we'll continue to push our rates. There's also a shortage for our assets at this time, so we're continuing to increase rates. Our customers have been told there's a validity on our proposals and if they don't take up work, rates will increase. So we will continue to push. Right now, I don't see it. Even a year ago, rig rates were saying they were targeting 300,000 a day. Now they're targeting 400,000 a day, there is even talk of 500,000 a day. So I don't have a clear view on the season right now, but I do see that they're increasing across the board.
Samantha Hoh: Okay, great. And then my other question has to do with the Robotics segment. It looks like there was a nice uptick in the renewables mix just from last year. And you mentioned that there was a lot of competition for assets with oil and gas. I was just wondering if you see that mix maybe reaching that 50% or even more for renewables this year? And what does that mean really on the profitability side for the segment?
Scott Sparks: So again, we see an increased market in renewables. There's a geographic expansion. We just acquired two -- well, three trenching systems. One of them has been deployed straight to the East Coast, one's going to Asia and wills stay in Asia for quite some time. We're seeing an increased market in the North Sea for renewables retrenchment site clearance. We're seeing site clearance increased on the East Coast. I think as Owen mentioned, the Asia market will eventually be a larger market than the renewables market in the EU. And eventually, we'll soon start seeing decommissioning opportunities in renewables. So definitely an increased market. Some of the older renewable wind farms are so much smaller now they're viable, so there will be a play in the coming years for decommissioning and renewables also.
Samantha Hoh: Okay, thanks so much and congrats again.
Scott Sparks: Thank you.
Operator: [Operator Instructions] We have no further phone questions at this time.
Brent Arriaga: Okay. Thanks for joining us today. We very much appreciate your interest and participation and look forward to having you on our first quarter 2023 call in April. Thank you.
Operator: That does conclude the conference call for today. We thank you for your participation and we ask that you please disconnect your lines.